Operator: Good afternoon. Welcome to cbdMD, Incorporated's June 30, 2021 Third Quarter Fiscal 2021 Earnings Call and Update. This afternoon, the company issued a press release that provided an overview of its third quarter fiscal 2021 results, which followed the filing of its quarterly report on Form 10-Q. Today's conference call is being recorded and will be available online, along with our earnings press release covering our financial results and non-GAAP presentation at cbdmd.com in accordance with cbdMD's retention policies. [Operator Instructions]  At this time, I would now like to turn the conference over to Ronan Kennedy, the company's Chief Financial Officer and Chief Operating Officer. Ronan, please go ahead.
Ronan Kennedy: Thank you, Catherine. And thank you all for joining the cbdMD's June 30, 2021 third quarter fiscal 2021 earnings call and update. On the call today, we also have our Chairman and Co-CEO, Marty Sumichrast. Following the safe harbor statement, Marty will provide an overview of our business, and I'll provide a summary of the quarterly financial results. Following that, we'll open up the call for questions. We'd like to remind everyone that various remarks about future expectations, plans and prospects constitute forward-looking statements for the purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. cbdMD cautions that these forward-looking statements are subject to risks and uncertainties that may cause our actual results to differ materially from these indicated, including risks described in our company's quarterly report on Form 10-Q for the quarter ending June 30, 2021, annual report on Form 10-K for the year ended September 30, 2020, and our other filings with the SEC, all of which can be viewed on the company's website at www.cbdmd.com or on the SEC's website at www.sec.gov. Any forward-looking statements made on this conference call today speak only as of today's date, Thursday, August 12, 2021. And cbdMD does not intend to update any of these forward-looking statements to reflect events or circumstances that would occur after today's date, except as may be required by federal securities law. With that, I'd like to turn the call over to cbdMD's Chairman and Co-CEO, Marty Sumichrast.
Martin Sumichrast: Thank you very much, Ronan. And good afternoon, everyone. We appreciate you all joining us today. Once again, cbdMD delivered top line sales that outpaced the overall industry trend. Despite the impact from the COVID-19 pandemic, we believe that our responsiveness and our ability to adjust our business has allowed us to maintain year-over-year sales levels. I want to thank our team for their hard work and dedication to keeping the health and safety of our employees a top priority, while also delivering on these results. With that said, while we appreciate the hard work and dedication of our entire team, we know that we can do better, and we will do better. Our goal is to get back to year-over-year growth rates in the 20% to 25% range or higher, while at the same time, be mindful of our cash spend. Getting back to achieving net sales growth in the near term is our top priority, and we believe we can do this based on the anticipated launch of a variety of new products, new partnerships and sponsorships, new channels of distribution and new international markets, all which have been put into place and we are executing on this quarter. We see significant long-term potential, not only in our core US market, but also in the global market. We expect an increase of our wholesale footprint as we anticipate additional mainstream retail channels to open up to the CBD category, especially to leading brands such as ours. As the company reopened earlier this year and we saw customer habit shift slightly from online to brick-and-mortar stores, we were able to pivot accordingly. With this reopening of the B2B wholesale channels, we are seeing more and more opportunity in specialty retail channels. We are also very well positioned as compared to most of our competitors to make significant headway in traditional brick-and-mortar retail chains. The brand recognition we have built through our sponsorships, we believe is best-in-class. And we plan to leverage those partnerships, which we believe will result in a more rapid expansion of our retail footprint. With the reopening of the country, we've already started new activations with our iconic leading partnerships with brands CrossFit and Bellator, and you'll hear about more of those plans coming to life very soon. As we continue to sort through a variety of market conditions, one issue we've experienced is production delays with several of our vendors, specifically impacting several new product launches. For that reason and while we remain bullish on the outlook for our brand sales growth, we are now revising down our net sales guidance for the first quarter of our fiscal 2022 ending December 31, 2021, from a range of $15.5 million to $16.25 million to a range of $14.9 million to $15.5 million or 20% to 25% year-over-year sales growth for the December 31, 2021, quarter. Reaching these performance metrics helps us achieve our goal of positive adjusted EBITDA results in the near term. We had a very healthy cash position of $18.9 million as of June 30. The next day, July 1st, we closed a secondary offering of our Series A preferred shares, which increased our cash on hand further by approximately $15.3 million to over $34 million. We continue to open new international markets, and our products are represented now in over 31 countries. We are in a unique position to secure marketing and sales opportunities with global sports organizations, which we believe will only be available to very few well capitalized and well recognized CBD brands such as ours. We are also looking at potential M&A opportunities within the CBD industry such as our recent purchase of Direct CBD Online, our new online marketplace. As always, cbdMD has been an innovative marketing leader in the CBD industry. Our team cbdMD has a roster of athletic champions [ph] that is matched in our industry and includes, but is not limited to Master's Champion Bubba Watson and Patrick Reed, 7 time Mr. Olympia Flex Lewis and 2 time UFC champion Daniel Cormier. With such an incredible roster of champions, we recently filed for the trademark cbdMD brand of champions, which we believe personifies our brand. Our cbdMD and Paw CBD brands continue to lead the market in brand awareness and social media reach. Our new cbdMD Botanicals brand is already in its second phase of new product development in just its first year. We also continue to strengthen our portfolio of strategic athletes and sponsorship programs. We continue to be recognized for our outstanding products as we've been a multiyear recipient of Product of the Year awards. In addition, we are pleased to announce that Paw CBD has received its official certification from the NASC or National Animal Supplement Council, a non-for-profit group committed to protecting and enhancing the health of companion animals through the country. NASC has dedicated itself to safety and quality in the animal supplement space in the United States, identifying and certifying only the best quality - quality products for cats, dogs and horses. Having the NASC certification is a pivotal step to access mass retail distribution as we believe such certification has been a gating requirement for a number of retailers in this segment of the CBD category. We understand the importance of brand equity and how critical it is that our customers know we are always selling superior, quality, safe products. In order to assure our customers that cbdMD products are at the forefront of quality and safety, we continue to invest in robust protocols and always with an eye towards the future. As I've said many times, the therapeutic potential of CBD, as well as other lesser known cannabinoids is incredible. We are working to tap into this therapeutic potential, as we continue to support scientific advancements through clinical trials and perform toxicity studies to demonstrate the safety of cannabinoids as novel therapies. We are aggressively developing significant and valuable IP. In order to better organize all our scientific endeavors, we launched cbdMD Therapeutics earlier this year. And we'll be providing the necessary resources to ensure its success, which recently included the hiring of former FDA official Dr. Sibyl Swift and the commencement of several industry leading studies on CBD safety. Fostering a robust culture of innovation and brand development has been an instrumental piece of our success. We are continuously evaluating options to connect with our consumers through our compelling brand propositions and innovation so we can meet the needs of our consumer's preferences in the marketplace. We continue to evolve our business to stay at the forefront of our industry. We take great pride in leading with strong values. We are committed to advancing the health and wellness of people's lives for the better by investing in our products, our brands and our people. We remain confident that we will continue to gain market share in the global CBD market. With that, I will now turn it back over to Ronan, who will take you through our financial results for the period ended June 30. Ronan, go ahead.
Ronan Kennedy: Thank you, Marty. And welcome, everyone. On a GAAP basis, total net sales for the third quarter of fiscal 2021 were $10.6 million or flat over the prior year's total. Although this was a sequential dip of 10% from the second quarter of fiscal 2021, for the 9 months ending June 30, 2021, we reported a total net sales of $34.7 million, a 15% increase compared to $30.2 million in the same period of last fiscal year. Our quarterly e-commerce direct-to-consumer business generated sales of $7.8 million in the third quarter of fiscal 2021. While this was a 4.9% year-over-year quarterly decrease, for the 9 months ending June 30, 2021, e-commerce generated $25.6 million of net sales compared to $21.9 million for the comparative prior fiscal year period or a 17% increase. E-commerce represented 74% of our total net sales for the quarter and 9 months. Our wholesale business generated $2.7 million of net sales for the third quarter of fiscal 2021, up 13.7% as compared to $2.4 million for the comparative quarter in fiscal 2020. For the 9 months ending June 30, 2021 and 2020, our wholesale business generated $9.0 million and $8.3 million, respectively of net sales. Paw CBD sales saw a strong increase during the quarter, and we are optimistic about the revenue opportunity with our recent NASC Quality Seal Certification. Our GAAP gross profit remains strong, and as a percent of net sales came in at 68% for the third quarter of fiscal 2021 compared to 65% from the comparative prior fiscal year period. For the 9 months ending June 30, 2021 and 2020, gross profit was 70% and 66%, respectively, as a percentage of total net sales. Based on our category sales mix, ongoing operating leverage and our asset light model, we expect to maintain our gross profit margins between 65% and 70% on our cbdMD and Paw CBD business. For modeling purposes, we anticipate the incremental Direct CBD Online business will have a small impact to our overall consolidated blending gross margins in future quarters. Our operating expenses for June 30, 2021 quarter totaled $13.8 million, which was up from $8.2 million as compared to the June 30, 2020, quarter. Operating expenses were up 15.6% over the prior fiscal quarter mainly due to a $3 million increase in advertising, influencer and marketing spend, which we have already reduced this quarter. Other contributing factors were $1.1 million increase in compensation, $650,000 increase in R&D and regulatory and a $630,000 increase in non-cash stock expense. For the 9 months ending June 30, 2021, operating expenses increased to $36.8 million from $33.1 million [ph] in the comparative fiscal period in 2020. Overall, this resulted in a GAAP loss from operations of approximately $6.6 million for the June 31 2021 quarter as compared to the $1.3 million loss from the prior year period. Sequentially, operating income declined $2.5 million over the March 2021 quarter. This is primarily attributable to $1 million in gross profit, $540,000 of compensation with $750,000 increase in marketing and influencer expense and $590,000 increase in R&D. For the 9 months ending June 30, 2021 and 2020, our GAAP loss from operations totaled $12.6 million and $13 million, respectively. Our non-GAAP adjustments to operating expense for the second quarter of fiscal 2021 include a $150,000 one-time accrued compensation expense, $987,000 in non-cash stock expense and depreciation expense of $246,000, resulting in a non-GAAP adjusted operating loss of $5.39 million for the third quarter of fiscal 2021 as compared to $187,000 non-GAAP adjusted operating loss in the third quarter of fiscal 2020. The increase in non-GAAP adjusted operating loss over prior year period is primarily attributable to the aforementioned increase in operating expenses. We invested $615,000 on CBD Therapeutics and related R&D this past quarter. And we anticipate ongoing investment, albeit at lower levels, during the next few quarters as we continue to invest in the cbdMD Therapeutic mission. Other income expenses on our consolidated income statement include a $1.5 million gain from the extinguishment of the PPP loan in addition to a non-cash contingent liability gain of $6.8 million related to the December 2018 acquisition of Cure Based Development. During May, we issued 562,278 earn-out shares corresponding to the third earn-out period. At the time of issuance, we booked a $522,000 valuation decrease and subsequently re-classed 1.3 million from contingent liability to additional paid-in capital on the consolidated balance sheet. The remaining earn-out shares were re-valued at the end of the quarter, resulting in a total non-cash contingent liability gain of $6.3 million for the quarter. The change in the valuation of the contingent liability are primarily a result of a decrease in the market price of our common stock during the period from $4.14 to $2.90 per share. During the quarter, we utilized approximately $5.2 million of cash. The main components include cash are adjusted non-GAAP operating loss of $5.4 million $560,000 of paid dividends, $85,000 of capital investments with the balance coming from a reduction of working capital. We had cash and cash equivalents of approximately $18.9 million and working capital of approximately $23.2 million on June 30, 2021, compared to cash and cash equivalents of approximately $14.8 million and working capital of approximately $16 million as of September 30, 2020. Our current assets as of June 30, 2021, increased approximately 26% from September 2020 to $30 million. A primary driver of the increase of the current asset was approximate [Technical Difficulty] in net proceeds from our Series A preferred stock offering in December 2020. As of June 30, 2021, the company's total current liabilities were $6.7 million, of which approximately $3.1 million as accounts payable and $2.3 million as accrued expenses. The company has approximately $182,000 of financing notes on equipment for our manufacturing facility. Our balance sheet remains strong, even more so after the proceeds from our July preferred offering. Going into the fall, we anticipate increasing our inventory levels slightly in preparation of a number of new product launches, as well as for precautionary measures to protect against potential supply chain issues in today's business environment and an expected increase in demand from anticipated future distribution partnerships. Since mid-third fiscal quarter, we have made a number of changes to personnel and are taking aggressive steps to reduce and align our marketing spend to get performance back on track and drive revenue of our core business. Additionally, we expect to have the operations of our recent acquisition consolidated during this quarter and are working to maximize the synergies available from this business. We remain optimistic about our new products set to launch in the coming months. And coupled with a number of other initiatives, we are confident in the positive outlook of our business going into the second half of the calendar year. With that, I'd like to now turn the call back over to Marty.
Martin Sumichrast: Thank you. Why don't we open it up for questions? Catherine?
Operator: [Operator Instructions] Your first question is coming from David Shale [ph] Your line is live
Unidentified Analyst: Hi, guys. I'm happy to see the strong cash position, but I'm wondering if you can add some color as to the promises made or the indications made last year about being cash flow positive by the end of last year. It looks like we're still quite aways from that now, and operating expenses have been up and down. You made reference to decreasing operating expenses going forward. Can you just give some background as to what's happening in that department?
Martin Sumichrast: Yeah. This is Marty. Thanks for the question. Look, we are - as you know, the CBD industry is a relatively new industry. We are sort of navigating it. We see opportunities that have kind of come to us, and we decided to take advantage of those opportunities. There were some marketing sponsorships that we took advantage of. Patrick Reed was one of them. That really wasn't on our agenda. We ended up taking advantage of it because it was a really unique opportunity because we're very strong on the - in the golf sector. We also took advantage of CrossFit in the quarter, which we think is going to be an enormous opportunity with 11 million CrossFit folks. Our team was up in Madison, Wisconsin two weeks ago, activating it to CrossFit games. It was an enormous success. So we're very excited about that. And so we felt that it was really important as we talk to a lot of the peers in the industry. There is an increased competition in the industry. And we felt that in order to maintain our market share and really grow for the future and set things up, which we believe we did in the first half of the year, that's starting to pay off now that we should invest in some of these opportunities. The other thing is on the therapeutic side, we invested on - into cbdMD Therapeutics. We feel that, that is vital for the long term as we are studying. And we'll come out, hopefully, with successful studies on safety, as well as other claims that we'll be able to make on the products, which we think really elevates our brands above most of the competition. So we just feel that those are right decisions to make, and we think that they're paying off. As I said in my comments, if we can get our revenue to where we think we can get it in the next couple of quarters, that should get us fairly close to that adjusted EBITDA number that we're hoping to get to. So hopefully, that answers your question.
Unidentified Analyst: All right. Thank you.
Martin Sumichrast: Sure.
Operator: Your next question is coming from Pablo Zuanic [ph] Your line is live.
Unidentified Analyst: So, Marty, can you hear me? I think there's something wrong with the line.
Martin Sumichrast: I can hear you, Pablo, loud and clear.
Unidentified Analyst: That's good. So can you just talk in general about the pet category? I mean, obviously, Martha Stewart launched the CBD brand with Canopy Growth. What are you seeing there? You talked about growth in your line. Just some color in terms of category size, competitive environment within the pet category and more color in terms of where you are in terms of share if you have a sense on that? Thanks.
Martin Sumichrast: Yeah. I mean, look, we think Paw CBD, it's our fastest growing category on a percentage basis. We think the opportunity for us is pretty large in that category. There's not a lot of competitors. Unlike the human space, the animal CBD space doesn't really have a lot of competition. We're spending, interestingly enough, a significant amount of our therapeutics dollars on the pet side. We think that by the end of the year, we're going to have some studies that are going to be able to say that our brand is able to help dogs in their mobility, which would be an enormous claim to make, as you know, tens of millions of pets suffer from mobility issues, particularly as they get older. So the market is there. I can't talk about the size of the market, Pablo. I've seen numbers as low as $50 million to as high as $350 million in - as we stand today. I think we are one of the leaders in the CBD pet market. I think we're probably in the top 5, and we've got some new products coming out. I think the biggest thing that we did was get the NASC certification. That's been a barrier to entry on a lot of the mass retail as the retailers tell us in order to get in there, we have to have that certification. And that certification took us a long time because of COVID, and they couldn't come out here and do all the on-site inspections. But we finally got it. We're very pleased with that. We expect really robust growth on the Paw cbdMD side. And we're going to be starting marketing Paw CBD as really for the first time as its own stand alone brand in certain sponsorships that we have. And so that's going to be a very interesting place. And interesting enough and lastly, a lot of big global sports organizations, believe it or not, are actually asking us to lead with Paw CBD as a brand to get in there first before we go with the cbdMD brand. So there's just an enormous amount of demand for it. We continue to see it growing rapidly, and we're very pleased with its success so far.
Unidentified Analyst: Thank you. And then just a quick follow-up. And again, I'm sorry if I misheard or joined the call late. You gave guidance for the December quarter in terms of sales, but had you given guidance for the September quarter? And the 25% growth is, I suppose, is year-on-year, right? But just some color there. Thank you.
Martin Sumichrast: Yeah. No, we had put out our December, our first quarter of our next fiscal year guidance of 15.5 to 16.25. We have a lot of products. We actually put out a press release in April. We were trying to get some products out for the end of last quarter. And just with all the production delays businesses having, whether it's finding employees, I can go down the list of issues that I'm sure you're seeing in other companies. So we were a little bit late on that. Those products are coming out now. They should be coming out in the next 60 to 90 days. Those products are drink [ph] mixes, which we think is going to be really big. We just saw those come into the warehouse. So we're excited about that. And so we think that, together with a couple of other initiatives, should really be able to ramp our two quarters out. So we pulled back guidance a little bit from 15.5 to 16.25 to 14.9 to 15.5, which was still going to be a 20% to 25% year-over-year sales growth from the December 31, 2021, quarter.
Unidentified Analyst: But are you going to guide or give any comments on the September quarter right now or no…
Martin Sumichrast: The one we're in right - the one we're in right now? No.
Unidentified Analyst: Okay. That’s good. Thank you.
Martin Sumichrast: Okay. Thanks, Pablo.
Operator: Your next question is coming from Ron Nash [ph] Your line is live.
Unidentified Analyst: Yes. Thank you. There's been some reports coming out of pertaining to that Amazon could be opening up their lines for CBD. Are you aware of this, and or is there anything contemplated going forward?
Martin Sumichrast: Thanks, Ron. Thanks for the question. Look, we are aware of this. There is no guarantees that they're going to do it. There is no guarantees that if they do it, we'll be one of the chosen brands. We feel that we will be. We certainly are, as you know, one of the biggest brands in the country. We've been working very actively. If they make a decision, they make a decision, and it goes very quickly. So you better be ready, and we feel we're ready. So we're cautiously optimistic. And as soon as we know, we'll let all of our shareholders know.
Unidentified Analyst: Have you been in touch with Amazon at all pertaining to this possibility?
Martin Sumichrast: We've been working through the correct channels to be ready in case they choose to move on the sector, and we're a part of that. Ronan, do you want to add anything?
Ronan Kennedy: No, Marty, I think you covered that. We feel pretty good about our strategy. We're ready to go live very quickly if and when Amazon makes that move.
Unidentified Analyst: Very good. Thank you very much. Appreciate that.
Martin Sumichrast: Thanks.
Operator: Your next question is coming from Mike Fifer [ph] Your line is live.
Unidentified Analyst: Hi. Can you size the CrossFit opportunity and the timeline potentially to monetize it? And then the second question is, are you comfortable with the partnerships you have now? Or are there things that you see on the horizon that may be coming your way? And I don't know if you can talk about that at all. Thanks.
Martin Sumichrast: No, thanks for the question, Mike. You know, if you'd asked me a month ago what I thought the CrossFit opportunity was, I would tell you, I thought it was very big just because of the sheer metrics that CrossFit has, which is 7,000 locations in the US, another 7,000 globally, 11 million CrossFit people in the US I mean it's an enormous, enormous company and an incredible iconic brand. But it really wasn't until I went to Madison, Wisconsin a couple of weeks ago, and we had a whole team up there of almost a dozen folks, and I really got to see the CrossFit community at the CrossFit Games. And I got to tell you, I came back as excited about this relationship as I've been about anything that we've done. I think the opportunity is - I mean, I can't - I think the financial opportunity is really significant. I think the branding opportunity is equally significant. You have to do it in an authentic way. The CrossFit community is not a community where you can just throw a corporate name at it. You have to be authentic. It's what we continue to hear from the members of CrossFit. So we have hit the ground running, whether it's local activations here in our Charlotte metro area, where we're doing that right now with a number of the leading gyms, whether it's going out and activating nationally to additional games that are put on across the United States. We're going to be announcing the addition of several high profile CrossFit athletes, which we're really excited about. In addition to that, there are other brands that are CrossFit brands. And we had an opportunity to meet with them and learn from them how they have been so successful in being in the CrossFit community. And so we've had just an enormous amount of communication with them not only to learn how to do that effectively but also to co-brand with them. And so you're going to hopefully see us co-branding with some pretty large brands. And we're going to be starting to do this across the board. Bellator, which we're also an exclusive CBD brand, which is owned by CBS Viacom. The President of Bellator, Scott Coker, has done an incredible job. We're starting to activate now at Bellator fights. They're now being sold out. The league itself is just blowing up because everybody is into MMA. And they do such a great job, and their fighters are just - are incredible. So we're activating there, and we're looking at building partnerships with those different partners. Monster being the biggest one there. So we just have a tremendous opportunity in front of us because of who we are, our position in the CBD market, our prominence as an NYSE listed company, how well we're capitalized. We have an incredible team of folks that are dying to get out there and communicate and do these different partnerships. So that's a long answer to a short question. As far as going forward, we are seeing global sports leagues wanting to open the category. And we're just honored that we are a lot of times their first call because they see what we've done, they see the brand, they see our brand of champions. And we think the future is so incredibly bright for where we can take cbdMD, Paw CBD and now cbdMD Botanicals, which you're going to hear a lot about in the next coming quarters. So that's my answer to you.
Unidentified Analyst: Thanks a lot.
Martin Sumichrast: Sure.
Operator: [Operator Instructions] Your next question is coming from Gary Destefano. Your line is live.
Unidentified Analyst: Hey, Martin. Hey, Ronan. Thanks first and foremost for reflecting on this quarter. Just a quick question, and apologies if I missed it. Can you just speak to the acquisition of DirectCBDOnline.com? Whatever you could say about it at this point. Maybe more generally, just kind of what the thought process was around it, and how early steps of integration have gone thus far?
Martin Sumichrast: Okay. Well, I'll talk about just sort of the overall thought process, and Ronan can talk about the integration. Look, John Wiesehan and his partner, Brad, are just terrific entrepreneurs. They're here in Charlotte. They've built a great platform in DirectCBDOnline. And we got to know them because they've been buying our product from us. And we felt that for us, this was a good strategic fit of human capital because now John is our CRO and Brad is our Head of Procurement. And they have done a tremendous job in just a few weeks that we've been here, we see a significant change, an uptick in all the performance. So that's number one. Number two is we felt that it was interesting to be able to see the trends and what's going in the overall CBD market. And so this gives us insight into that. And so that was kind of the concept. I think we structured the deal in a good way. I think it was a good value for the shareholders, and we're excited to see it grow. And as far as the integration, Ronan, do you want to talk about that?
Ronan Kennedy: Yes. So having it locally here in Charlotte, it's making it easy for us to kind of integrate the teams. And we're working to pretty much by the end of -- within the next - within this quarter, we'll have the operations fully consolidated and really working to kind of streamline all operating expenses and maximize all the synergies we expect to get out of that business.
Unidentified Analyst: Great. That's fantastic. Congratulations. Just one follow-up question, separate from the acquisition. Any initial thoughts regarding the international rollout of the cbdMD platform? Is it going as expected? Or anything worth noting there?
Martin Sumichrast: Well, it's interesting. If you'd ask me a year ago whether I thought we would be in international markets, I would tell you that it really wasn't our focus because the US market is so big and the opportunities, and it's really kind of come to us. I mean, we had distributors and folks around the globe wanting our product. We decided that we would make a push into the UK. So we filed the application that we had to do and to get in there in March. And we submitted that and we're waiting on the response from the regulators there. We think we're in good shape there. And that will allow us to really make a push into that market and then also into the EU. And then we're also looking at Asia, and stay tuned because I think we've got some very interesting things going on there. Clearly, several Asian markets really love our brand. And so we're making a very concerted push there. But yes, I mean, 31 countries representing our brand, that's pretty neat. And it really gives us an ability to grow in those different markets. So we think the international play, it's a longer term objective, but we think it's going to continue to grow, and we can do it in a way that's cost effective.
Unidentified Analyst: That’s great. Assume that’s a lot [indiscernible] appreciate your guys, time. Thanks.
Martin Sumichrast: Thank you.
Operator: With no further questions in the queue, this does conclude our conference call for today. Thank you so much for your participation.